Operator: [Audio Gap] westernunion.com under the Investor Relations section. I will now turn the call over to our Chief Executive Officer, Devin McGranahan.
Devin B. McGranahan: Good afternoon, and welcome to Western Union Second Quarter 2025 Financial Results Conference Call. Today, we reported a reasonable quarter against a difficult macro backdrop as we continue to implement our Evolve 2025 strategy, which is focused on returning Western Union to sustainable, profitable revenue growth. Our strategy is to become a truly customer-centric company by being market competitive in the most important corridors, increasing our executional rigor and being the market leader for great omnichannel customer experiences. While we are investing in this evolution, we continue to deliver above industry average margins, return capital to shareholders and maintain our investment-grade credit rating. We remain optimistic about the long-term outlook. As our investment in becoming market competitive over the past 2 years, has provided a foundation for what we believe will be future share gains propelling revenue growth in both our retail and digital businesses. We are also continuing to build up our consumer service business, which contributed significantly in the quarter. Our Travel Money business will be approaching $100 million in revenue this year from nearly nothing a few years ago. For the second quarter, we reported revenue of $1.026 billion, on an adjusted basis and excluding the impacts from Iraq, this was a decline of 1% year-over-year. Overall, consumer money transfer transaction growth was down 3% in the quarter and cross-border principal growth was up mid-single digits on a constant currency ex Iraq basis, speaking to the resilience of our customer base and their press severance in the current macro backdrop. While our retail business in the Americas continues to face headwinds associated with the current geopolitical environment, our retail business in Europe performed well with mid-single-digit transaction and revenue growth. Our branded digital business increased transactions by 9% and adjusted revenue by 6% in the quarter. Consumer Services adjusted revenue growth was up 40% in the quarter, driven by our acquisition of Euro Change and strong European travel which is the driver of our expanding Travel Money business. We expect our Travel Money business to have another strong quarter in Q3 as we continue to benefit from Eurochange acquisition and the summer travel season. Our adjusted earnings per share came in at $0.42 compared to $0.44 this quarter a year ago. A decent result as Q2 2024 benefited meaningfully from higher revenues and operating profits from Iraq, which were not repeated in the current quarter. Our discipline in managing costs is coming through. Matt will discuss our second quarter financial results and 2025 outlook in more detail later in the call. Now switching to the macro environment. As you know, our core business is fundamentally linked to human mobility. When people move, whether for education, employment or family, they rely on Western Union to send money across borders. Because of this, immigration practices and policies around the globe, play a critical role in our business with both short-term and long-term implications. We firmly believe that in the long term, the global mobility of people from lower productivity countries to higher productivity countries is essential if the more developed economies of the world wish to maintain their economic growth given declining birth rates and lower labor force participation rates. In the short-term, such as this quarter, we can see shocks in the long-term trend lines driven by changes in policies. While our global business has continued to show resilience and growth, the Americas and particularly now the United States, have become more challenging in recent months. We have observed an increase in immigration enforcement activity, including workplace inspections and high-profile rates in sectors such as agriculture, construction and food processing. While these actions are limited in scope, the ripple effect would appear to be having an impact on our business. They can create hesitation within immigrant communities, leading to reduced transactional activity, changes in send behavior and/or shifts towards less visible and/or informal remittance channels. These developments are creating short-term headwinds, especially in markets where recent enforcement efforts have been concentrated. While we remain confident in the long-term resilience of these customer segments, we are seeing market level softness in some U.S. outbound corridors. In response, we are doubling down on our commitments to customer experience, trust and compliance. We continue to work closely with the government as well as community organizations and advocacy groups to ensure that our customers continue to have access to high-quality financial services. Earlier this month, legislation was passed in the United States that included a 1% tax on remittances. This legislation will go into effect at the beginning of 2026. Generally excluded from this legislation are any remittances funded through noncash means, which excludes virtually all of our digital business in card-based retail or roughly 50% of our U.S. CMT business today. We expect that this would limit our exposure to less than 20% of our total company revenues that are tied to U.S. retail cash-based transactions. Looking at some of our largest retail partners in the U.S., we see debit card funding rates at 30% or even better, which causes us to believe that as debit adoption increases across our retail footprint in the U.S., our true exposure could be 15% or less of our global business. Given this, we believe a 1% remittance tax on cash-based remittances is not likely to have a meaningful impact on our business going forward. That said, we are rapidly building the required infrastructure to accurately collect and remit the tax when applicable. Our customers will have multiple options for noncash remittance transactions, including card-based or bank-linked transactions at most retail locations in the U.S. and on our digital platforms. This will include card acceptance at Western Union and Vigo branded locations as well as through all Western Union digital offerings. U.S. customers can now also enroll in our Vigo Money digital wallet which offers a number of benefits, including being available as a tax-free digital funding source for remittance transactions. In addition to helping our customers use the bank products that they already have, we are accelerating our efforts to enroll our customers who currently do not have these types of accounts into our digital wallet. We see this as a potential accelerant to our efforts to roll out our digital wallet in the U.S. as our agents will now have a shared incentive to help enroll customers. The move to card-funded transactions at retail could also generate cost efficiencies over time by replacing our cash handling costs with relatively lower debit fees while also reducing the high cost of cash handling that our agents bear themselves. Looking ahead, despite the near-term headwinds in the Americas, the broader trends remain clear. Global migration is not slowing. It is evolving. Whether driven by labor demand or political instability, people will continue to move, and we will continue to support them with solutions that are safe, fast and trusted. Now I would like to shift gears to another recent hot topic, stablecoins. Historically, we have taken a conservative view towards cryptocurrency as a legitimate alternative to more traditional cross-border money movement, given its historic volatility and lack of a clear regulatory framework. This position has served us well and prevented many low ROI investment that others have made. However, with the passage of the GENIUS Act, we are actively revising our position. With a clear regulatory framework and guaranteed redemption value, we believe there are several opportunities worth exploring and investing in. We particularly like opportunities we see in treasury operations with increased settlement speed and potentially lower required partner funding requirements. Stablecoins enabled solutions have the potential to reduce friction and float enabling faster, more efficient movement of value between our global network and local payout partners. We are actively testing programs that leverage on chain settlement rails for back-end treasury applications. The goal is to reduce dependency on legacy correspondent banking systems, shortened settlement windows and improved capital efficiency all without compromising compliance, transparency or customer experience. These innovations align closely with our broader strategy to modernize the movement of money and we believe they could ultimately improve our ability to manage our global liquidity. In addition to treasury operations, we continue to explore opportunities to leverage Western Union's technology and capabilities, too. First, make our payments network available as an on-ramp and off-ramp to connect the fiat world with the digital crypto world; two, leverage stablecoins to enable global payments across digital channels; and three, provide buy-sell-hold capabilities to our customers to access cryptocurrencies in our digital wallets. We see that there are many near-term opportunities and have been pleasantly surprised at the high level of interest in using our payments network for on and off ramps in various parts of the world. We look forward to sharing more about our plans in this exciting area at our Investor Day on November 6. Another place where we are starting to see exciting progress is in the integration of AI capabilities into our core business processes. We see artificial intelligence as becoming a foundational enabler of the next chapter of our transformational journey. Over the past couple of quarters, we've accelerated the adoption of AI across our core operations and are now beginning to see tangible results. A couple of great examples include using AI-powered customer service representative assistance to summarize transaction experiences, indicating to the CSR where specific points of issue are and helping them identify and solve our customers' problems without lengthy explanation. This has allowed us to lower handle times by over 50% where the CSR assistants are active, dramatically improving our customer experience. Also in customer service, we have integrated AI into our customer service QA function, and this technology has enabled us to go from sub-1% sampling to over 90% call sampling in the most recent period. Real-time case-based feedback drives CSR learning and improvement at a much faster rate. In our tech department, we recently announced a partnership with HCL that gives us access to their Gen AI platform, AI Force, which will improve workflow efficiencies across both the engineering and application maintenance activities. We now have several hundred engineers participating with code completion copilots, driving productivity and quality improvements in our software development processes. In our Treasury and Liquidity Management operations, we're piloting AI models to better anticipate pre-funding needs and optimize capital deployment across corridors. This program will drive lower prefunding requirements and allow us to bring back more cash to our corporate treasury for strategic M&A and/or return to our shareholders. With these experiences, we believe AI will enable us to continue to optimize our cost base for years to come, improving outcomes and reducing operating costs simultaneously. In conclusion, despite the current market outlook on our company, we are optimistic about the potential of our business and the platform it provides for a growing and profitable future. Our very resilient business model with its strong cash-generating characteristics is the foundation from which we continue to improve and build upon. I look forward to coming back in the fall and sharing with you our plans for this platform and our positive outlook on the future. I will now turn the call over to our CFO, Matthew Cagwin, to discuss our financial results in more detail.
Matthew Cagwin: Thank you, Devin, and good afternoon, everyone. I'm going to walk everybody through our 2025 second quarter results and our revised 2025 financial outlook. In the second quarter, GAAP revenue was $1 billion. Excluding Iraq, our adjusted revenue was down 1% on a year-over-year basis. The decline was led by a slowing in our retail business, largely driven by North America, while our branded digital and consumer service businesses continue to grow. Adjusted operating margin was 19% in both the second quarter of this year and in the same period last year. Our operating margins were negatively impacted by lower contributions from Iraq in the current period and higher consumer fraud losses, which were offset by savings from our cost redeployment program and favorable foreign currency. Adjusted EPS was $0.42 in the current period compared to $0.44 in the previous year. In addition to the items impacting adjusted operating margins, adjusted EPS was affected by higher interest expense, partially offset by fewer shares outstanding in the quarter. The adjusted effective tax rate was 16% in the quarter and in the prior year period, the adjusted effective tax rate was higher than our full year outlook due to discrete tax items in the current period. Now turning to Consumer Money Transfer or CMT. Transactions declined 3% in the quarter or 2% excluding Iraq, as uncertain immigration policies continue to disrupt the industry, and we are seeing shifts in our customer behavior from fewer transactions but higher average principal per transaction. Our PPT increased by over 5% in the second quarter compared to the prior year on a constant currency basis. Our branded digital business grew adjusted revenue by 6% and transactions by 9%. This marks the seventh straight quarter of solid revenue growth of mid-single digit or better. We continue to see progress in our branded digital business with strong transactions growing in the Middle East and APAC. However, we saw a transaction slow from the United States to Latin America, led by U.S. to Mexico. Like the previous quarter, our branded digital revenue growth was muted by loyalty accruals, and we expect this headwind to subside in the back half of this year. We continue to see strong growth in our payout to account business. In the quarter, we grew nearly 30% and now account payouts account for almost 40% of transactions sent from our branded digital business. We continue to evaluate and expand our payout capabilities around the world, as we serve the unique needs of our customer segment. The growth of our account directed payments highlights the demand for flexible, fast remittance options and comes with higher margins and a much stickier customer relationship. We also have negotiated lower account payout rates this quarter, which helped achieve stable profit margins despite the tough macro environment and lower revenue. We believe we have much more runway to go on reducing our account payout fees. Additionally, as Devin talked about, we see the new remittance taxes as an opportunity to accelerate our digital transformation and grow both the digital and wallet businesses in the United States. This reflects benefits to our customers and also gives us an opportunity to deepen our relationship with them. Now turning to our retail business. In the quarter, we continue to see weakness in North America, driven by immigration policy, which led to a slowdown in independent channel. Growth rates in our Vigo business slowed from growing double digits last year to negative in the current quarter. We believe -- as we fully implement our Evolve strategy here in North America, we will begin to see the results similar to those that we're experiencing in Europe. We continue to see strength in our retail business in Europe, driven by 15-plus percent revenue growth in both Spain and the United Kingdom. In the U.K., we have expanded our relationship with the U.K. Post moving from a nonexclusive relationship to an exclusive one. In Spain, we're doing many of the right things in relation to our Evolve 2025 strategy. First, we're benefiting from the controlled distribution network with over 60 owned and concept stores in the market. Second, a strong focus on payout to account is driving close to 80% growth in the payout to account year-over-year. And lastly, Spain was the initial market for our dynamic pricing model, which benefits as we leverage our scale and flexible model to capture market share. We also continue to believe there are numerous compelling opportunities for our retail business to recapture market share, and we look forward to sharing more about those opportunities at our upcoming Investor Day. We will continue to work on executing against these opportunities as we continue to grow our retail business. Now transitioning to Consumer Service segment, which now accounts for 14% of total quarterly revenue. During the second quarter, adjusted revenue was up 41%, driven by our Travel Money business. Consumer Services accelerated since the first quarter due to the acquisition of Eurochange, which accounted for more than half of our growth; our bill-pay business, which had stronger revenue growth in the quarter as well as our media network business which also accelerated based on the deferred contract I talked about in the first quarter, which came through during the second quarter. Now switching briefly to operational efficiency program. Year-to-date, we were able to save $40 million, which brings our cumulative savings to more than $150 million, completing our program we announced at our 2022 Investor Day, 2 years ahead of our schedule. As Devin mentioned earlier, the recent adoption of AI is beginning to result in cost efficiencies, and we are confident that artificial intelligence will enable us to continue to optimize our cost base going forward. Now turning to our cash flow and balance sheet. We generated $148 million in cash flow from operations year-to-date compared to $60 million in the prior year period. Both years included over $200 million in cash taxes related to our transition tax. I'm excited to announce that we made our final payment last quarter related to the transition tax, and as we go forward, we will no longer have this burden. Year-to-date, capital expenditures were $54 million (sic) [ $53 ] or 15% lower than prior year. We remain committed to strategically investing in key areas of our business, while also aligning agent compensation to our performance. Now moving on to our balance sheet. We continue to maintain a strong balance sheet with cash and cash equivalents of $1 billion and debt of $2.7 billion. Our leverage ratios were 2.8x and 1.8x on a gross and net basis, which we believe provides us with ample flexibility to return capital or potential M&A while maintaining our investment grade credit rating. In the second quarter, we returned over $150 million to our shareholders via dividends and share repurchases and over $300 million during the first 6 months of the year. This represents a cash return to our shareholders over 10% versus our current market cap in the first half of this year, and implies a 20% cash-on-cash return if we were to annualize the first half payments at our current stock price. Now moving on to our 2025 outlook, which assumes no material changes in macroeconomic conditions. Based on the tough macros and performance year-to-date, we are updating our 2025 guidance today, which includes adjusted revenue to be in the range of $4.035 billion to $4.135 billion. This range reflects continued growth in our branded digital business, double-digit growth in Consumer Services as well as improvements in our retail business. We expect operating margins to be in the range of 19% to 21%. And lastly, we expect adjusted EPS to be in the range of $1.65 to $1.75. Thank you for joining the call today. And operator, we're ready to take questions.
Operator: [Operator Instructions] Our first question comes to us from Vasu Govil from KBW.
Vasundhara Govil: Matt, maybe first one for you on just the Eurochange acquisition. I think based on what you said, I'm calculating roughly 2 points of contribution to revenue growth in the quarter. Is that correct? And is that trending better than I think you had anticipated roughly 1 point of contribution for the year. So was it trending better than what you guys had originally thought?
Matthew Cagwin: Vasu, thanks for the question. Thanks for joining the call today. We are super excited about the acquisition. We got them at the very beginning of this quarter. To your question, yes, it's about 2% of revenue in the quarter. As you work your way through the year, typically the strongest quarter of the year is Q3 followed by Q2 with the lighter ones being Q1 and Q4. So our 1% comp, it was a full year comp at last quarter. And it's going very well. We're super excited to have the team on board. They've come in added a whole bunch of additional thought leadership around the Travel Money business, have given us a whole lot more optimism and confidence in the acquisition we made and super excited we're able to get a strong asset for a purchase price net of cash of about $30 million. So super excited about having it. Thanks for the question.
Vasundhara Govil: And just if I can ask a quick follow-up on just the immigration crackdown and the impact that's having on North America. Are you seeing any mix shift to the digital channel away from retail as a result of what's happening? Or is that not really something you're seeing in the numbers?
Devin B. McGranahan: We are not as evidenced by the commentary, Vasu. We saw a slowdown from U.S. to Mexico in both the retail business and the digital business. As you know, the U.S. to Mexico corridor is the largest corridor out of the United States by a factor of almost 3. And so that is a powerful driver. We did not see a material shift from retail to digital. We saw aggregate volume demands in both channels go down.
Operator: Our next question comes to us from Will Nance from Goldman Sachs.
William Alfred Nance: Just wanted to follow up on that last point on the deceleration in digital transactions this quarter. I -- frame if I'm wrong on this, I thought the definition for digital is digital on either side of the transaction. So I was just wondering if you could talk about whether like the slowdown that you're seeing on the digital side is for retail-originated transactions and just maybe quantify what the exposure there is, if I'm correct on that?
Matthew Cagwin: Will, this is Matt. We actually have a different definition than some of our competitors in the marketplace. We have historically used Retail is anything that originates in a retail location or anything and then digital in it originates on the digital side, whether it's paid out in cash or paid out to account. So there is a little bit of a definition thing there. As Devin just talked about in the last question, we are seeing a slowdown in the digital U.S. outbound into Latin America primarily into Mexico. That's something we're seeing in the central banks reporting that there's a slowdown of inbound transactions across the board. We did not experience this last quarter, but we're starting to see a little bit of a headwind on that.
William Alfred Nance: Got it. No, I apologize, I guess I had that wrong.
Devin B. McGranahan: The other thing, Will, right to the question you asked, right, and if you put the commentary together in payout to account, whether it was digitally originated or retail originated, we also saw a slight slowing historically, whether retail originated or digital originated, payout to account was running mid-30s, sometimes high 30s. In many corridors now it's running mid-20s to low 30s. And so even in the most digital, which is digitally originated digital payout to account, we saw a slight slowdown. And we saw that slowdown in payout to account both from retail originated and digital originated almost entirely into the important lock corridors, Mexico, Venezuela, Haiti, Guatemala, Dominican Republic. Those are the places -- Colombia, Ecuador, those are the places with the biggest slowdowns.
William Alfred Nance: All right. That's great. That's all great detail. I appreciate that. And then I -- maybe I wanted to maybe pivot to the stablecoin side, a couple of interesting tidbits you shared there. I thought -- the one that set out to me the most was on kind of the on-ramp/off-ramp solutions to kind of other third-party stable point solutions. And I remember the company used to offer some white-label products in the past, not so much these days, but it seems like you're considering white-labeling your on-ramp/off-ramp to kind of people on the stablecoin ecosystem. Can you talk about that opportunity and just spot light, like what are the types of corridors or the types of use cases where you guys could add the most value to people trying to operate stablecoin payments cross border.
Devin B. McGranahan: Yes, certainly. So Will, as you know, the moving of stablecoins from one digital wallet to another digital wallet is pretty straightforward. The translation of that stablecoin back into a local fiat currency that someone can use to buy groceries or pay a bill is much more difficult. Our infrastructure around the world has been enabling that basically from central bank digital currency to local fiat currency for a couple of decades now. So transitioning to be a provider of that kind of platform and in many places in the world, that conversion is not the easiest thing in the world. So I think in lots of places in Asia, Central America, South America, Africa, where we've got great capabilities and great platforms. So we've been pleasantly surprised at how much the phone has been ringing since Circle went public and lots of enthusiasm came into this space and are actively participating with a couple of parties now doing pilots, both in South America and in Africa. So we'll come back to it, but we see it as a natural evolution for us, given what our capabilities are around the world and the value we can provide as the payments world digitizes towards blockchain-based platforms.
Operator: Our next question comes to us from Ramsey El-Assal from Barclays.
Ramsey Clark El-Assal: I wanted to ask about the visibility into some of the political headwinds that are impacting your LatAm and U.S.-Mexico business. Has the headwind kind of stabilized at this point? Or is it still kind of a moving target? And I guess that's a key way of asking could the impact worsened in the quarters ahead? Or are you sort of feeling like, okay, things kind of had a step function down, but now it's just a question of sort of anniversary-ing the step down?
Devin B. McGranahan: It is a wonderful question that I wish I could tell you a great answer to. What I can tell you is the impact we see is somewhat volatile. So June was much better than April, April was much worse than February. So was April the low point? I don't know. What I can tell you is increases in activity, increases in visibility and increases in media attention all seem to have a negative correlated effect on our customers willingness to particularly walk into a retail location. But as we said also, to a certain extent, in our digital channels as well. And so we're keeping a very close eye on it. We've got lots of folks on the ground in the communities, providing safe, secure, compliant products and services for our customers, but this is one that I think we're going to see how it goes.
Ramsey Clark El-Assal: Okay. One quick follow-up for me on stablecoins. I guess the question is, what are you seeing in the marketplace in terms of demand? I know there's a stablecoin use case where folks in emerging markets with maybe shaky financial infrastructure use it as an inflation hedge or a way to buy U.S. dollars. Is there any organic demand you're seeing for stablecoin utilization? Or is this just more of kind of a top-down, we will build it in case they come type of an approach basically?
Devin B. McGranahan: I would aggregate conversations into two parts. And Matt can talk about the second part, probably at greater length than I can. The two parts are, one, the reach outs that we're getting from what I would call platform or infrastructure providers who are assembling ways in which people can therefore then issue a stablecoin or use a stablecoin-based process through a series of platforms that kind of connect all this stuff. So that's in your category of build it and hope they come. And so we have lots of reach outs from people who would like the ability to do particularly off-ramps, I guess, maybe on-ramps as well, but particularly off-ramps in many of these countries around the world that either have currency controls or have difficulty with kind of local currency translation. The second, and this is where we're investing a lot of our time and energy is people who are building, in essence, B2B solutions and platforms, allowing people like us to move money around the world in a much more efficient way than the correspondent banking system. And so the more productive conversations that are translating into economic value for us is how do we enable a stablecoin infrastructure for our core business, which is retail consumers either digitally or in the retail channel wanting to send money to family and friends. And then how do we make that seamless in real time for the customer regardless of the fact that we're using a stablecoin versus a traditional Swift banking infrastructure platform. That is probably progressing much faster. But I can let Matt talk about it.
Matthew Cagwin: I'd just echo what you just said there, Devin. So we've got a couple of different partners we're already working with carefully right now in Latin America in particular, where currency controls and other challenges make it easier to use a stablecoin or cryptocurrency. Ultimately, for us, as you get this real time around the world, it will allow us to reduce the amount of capital we have around the world to help do payouts. So we're super excited to find a way to make this work, have partners that are very interested in engaging with us and see more of a pull today than just a conversation.
Devin B. McGranahan: That's a great anecdote, Matt and I were chatting this morning. Over the weekend, one of our significant banking partners in India ran short of cash. We had some added volume that we didn't anticipate. And so we had some delayed payments over the weekend because by the time we were able to move money to India to top up our partner there, we weren't able to provide as timely service for our customers. In a stablecoin world, Matt could make that happen 24/7 as soon as we saw the ability for the partner to make outbound payments reduced by prefunding levels, he could just top up in real time with a stablecoin.
Operator: Our next question comes to us from Rayna Kumar from Oppenheimer.
Rayna Kumar: Just given the tightening U.S. immigration policy, and we'll probably be in this environment for at least the next 3.5 years. Do you think you have to tweak your Evolve 2025 strategy at all?
Devin B. McGranahan: We are very committed to the strategy. We believe that our customers are resilient. We believe that the vast majority of our customers are productive members of the societies in which they have chosen to join around the world, including here in the United States. Recall that in order to send money home one needs to have money in the first place, which means you likely have a job, you have food on your table, shelter over your head before you choose to send money home. We are going to remain committed to that customer. And as this policy and process evolves, we believe that things will stabilize. On any given day, we're still sending nearly 100,000 transactions to Mexico. It's just not growing 10%, 12%, 15% like it has been the last couple of years. So I think we will likely see less growth over the next couple of years with the current policies and approaches than maybe we have in the last couple of years, particularly here in the U.S. But we don't think it fundamentally changes the core intrinsics of the product we offer, the stability of the market or the nature of the opportunity. As you know, we've evolved the strategy to also include consumer services. And so we will be placing a greater emphasis on driving nonremittance based products and services. In the prepared comments, I talked about the rollout of our digital wallet, which includes a debit product, a bill payment product and the ability to do fee-free P2P, wallet to wallet within the United States. So rolling out products and services like that more rapidly in the U.S. will obviously become a greater priority as we see the top-level line growth of the core remittance product slowly stabilize.
Rayna Kumar: And then just one follow-up for me. Just on the comments you made on the 1% remittance tax, you make a case for increased debit usage. I'm just curious for customers that have a debit card, wouldn't you anticipate them just using digital means to transfer money rather than using a debit card right at the retail location?
Devin B. McGranahan: Interestingly, the retail value proposition is sometimes about cash. But most of the time, it's not actually about cash. And as I said, some of our big national grocery store chains already have 30%, 40% debit enablement and so we recently did a customer survey with a group of U.S. retail customers to try to get a better read on this. And over 2/3 of them indicate that they will remain in the retail channel and use a debit card. The convenience, the familiarity, the language, the certainty, in some cases, the paper receipt that they have as evidence that they sent the money is valuable to them versus trying to enable a digital app or send money digitally.
Operator: Our next question comes to us from Tim Chiodo from UBS.
Timothy Edward Chiodo: Two brief ones, actually. One is during the prepared remarks, you made a couple of comments around fraud losses in the quarter. I just wanted to see if you could bring that to life a little bit. What is the scenario in which that happens or happened? And then a general question around large partners with any contract renewals that might be coming up that we should be aware of, either exclusive deals that could be renegotiated, et cetera, if there's anything on the horizon that we should be thinking about?
Matthew Cagwin: Awesome, Tim. Thanks for joining the call today. I'll tackle the first one and Devin will hit the second one. But on the fraud loss side, we, during the quarter, early June, implemented a new real-time payment network. When that happened, we ended up having a duplicate payment challenge. We've been working to recover those funds. It's not material, but we thought it was important enough to call out as you could see, we're still able to maintain our 19% margins. So not a big deal, but an item that we're working our way through.
Devin B. McGranahan: As you know, particularly in the U.S., though it's true all over the world, Western Union has historically enjoyed a preeminent position with the largest retailers in postal systems. In any given year, there's any series of renewals that come up. I think now we're through all of the ones for 2025. I'm pleased that we've renewed, I don't know, Matt, we probably knew 12, 15, over a dozen of the large strategic partnerships in the U.S., including grocery store chains, major check cashers, other everyday financial service providers. As we noted in the prepared comments, we renewed with the U.K. Post taking that relationship exclusive. And we continue to look forward to renewals with postal systems in Spain, Australia and other countries around the world. So I don't think there's anything unusual so far this year, and we'll continue to keep you posted.
Operator: Our next question comes to us from Nate Svensson from Deutsche Bank.
Christopher Nathaniel Svensson: A couple of earlier questions I wanted to follow up on. So first on Ramsey's question on visibility. I think if I heard right in the prepared remarks, you mentioned an improvement in retail being baked into the guide, so I won't ask the geopolitical part of the question again. But if I look at transaction growth across each of the regions in digital, growth decelerated pretty much across the board other than APAC. So just wondering, given the volatile macro, what gives you the confidence and visibility into the improvements in retail? It could be comps, other initiatives, but it would be great to hear more color. And then maybe how much improvement in retail is actually baked in here?
Matthew Cagwin: Nate, this is Matt. There's not a massive amount of improvement, but there's not a deterioration further in the guide. We do have some glimmers of hope with certain partners we're working on right now that we think will give us a little bit of an uplift in the back part of the year, some expansion of non-exclusive to exclusive, some potential other partnerships. So it's a modest amount. So I don't think you should worry that if it stayed where it is today, we fall outside of our guide, and that's to take it down further. But to get at the upper end, we've got to get some improvement.
Christopher Nathaniel Svensson: Got it. That's helpful. And then I wanted to follow up on Rayna's question on the remittance tax. So nice that it came in at 1%, maybe less draconian than earlier versions of the bill and the detail on less than 20% of overall company revs was helpful. I guess could you walk through some of the mechanics of how you expect to implement that across your business? Is there any way to size the increased cost with regards to infrastructure to getting that tax remitted or anything KYC or AML related that we should be considering? And then maybe to follow up on Rayna's question specifically, like what are you doing to try and incentivize the use of noncash remittance methods at the point of sale to maybe get around that tax?
Devin B. McGranahan: Yes. So a couple of things. One, we spent a fair amount of time and energy influencing or trying to influence or hoping we could influence the nature and structure of the legislation that passed a significant improvement from the original version that emerged from the house, both at 5%, but with all kinds of complicated requirements on residency status and things that would be quite difficult to administer. With the rollout of our next-generation point-of-sale platform, WUPOS 2.1, we will be able to easily enable this as it is simply a 1% tax on cash and prepaid card transactions. So that will be quite easy to discern in the system. We will collect the tax at the point of sale and remit to the government. So the technology investments and the requirements to implement it will be relatively low, and we'll certainly be ready by the time the law is enacted to be able to execute that with high quality and precision. Fortunately, for us, the tax itself is an incentive. So I don't know that we have to do anything other than help people avoid the tax, and we should get uptake on the debit card. And we're hoping enough to spur people to want to open Vigo wallet accounts, which will help us build that product without having to spend an enormous amount on marketing.
Operator: Our next question comes to us from Zachary Gunn from FT Partners.
Zachary G. Gunn:
Financial Technology Partners LP: I appreciate the macro challenges, and I just wanted to follow up on that end. So last quarter, there were some FinCEN orders against specific ZIP codes near the Southwest border. This quarter, we saw additional FinCEN orders against a couple of Mexican financial institutions. So is there any way to think about, how much of the demand destruction in the corridors is -- from the regulatory side and from that supply side of potential partners that you're working with or actual consumer demand?
Devin B. McGranahan: I think it's tough to disaggregate. What I can tell you is the partners that were cited publicly were very, very small for us. We did not have much volume, if any, going to those partners. Our partners in Mexico are the large financial institutions, BanCoppel and Elektra and Bancomer who are the majority of our transaction volume, both pay out to account and payout to cash. So obviously, any time there is regulatory action that is going to affect some volume and some perception of the market. My personal hypothesis is it's much more overall market demand and changing consumer patterns and behaviors while we get through this particular chapter in the evolution of the U.S. as immigration policies.
Zachary G. Gunn:
Financial Technology Partners LP: Got it. And just as a quick follow-up. With the stock where it is, is there any thoughts in terms of capital allocation changing the buyback versus dividend strategy?
Devin B. McGranahan: There is not.
Operator: Our final question comes to us from Jamie Friedman from Susquehanna.
James Eric Friedman: So I wanted to ask one about this opportunity, 3 in stablecoin. Devin, I thought this is potentially quite structurally important. So where you're seeing reduced reliance on the dependency of legacy banking systems. I was hoping you can elaborate on that. Do you see that more as a cost takeout opportunity? Or is that potentially revenue enhancing? And then my last 1 is you've been successful in Europe now for a while with the new strategy. I was wondering at what point you anticipate templatizing your successes there over here?
Devin B. McGranahan: Great questions. Initially, I think we believe the adoption of a more crypto-enabled money movement platform will create efficiency and effectiveness in our core offering. So it will increase speed, reduce friction. And as Matt says, hopefully, enable us to better manage the liquidity that we have floating around the system every day. Ultimately, if the value proposition can improve, potentially, you can draw market demand and you can increase the overall category and thus revenue. So we see it as an interesting way to Evolve how money moves and a potential opportunity to increase the quantity of people who are interested in moving money, and therefore, grow the top line as well. But I think that is to be seen. You had a second question?
James Eric Friedman: I was just asking the ability to transfer the successes you've had in Europe over here?
Devin B. McGranahan: Yes. So we are actively engaged in that project right now. So we've asked the current head of our European business to [second] himself here in the U.S. He just came off of a 6-week around the U.S. tour and has gone back to Spain for a couple of weeks, and then we'll be coming back here later in the summer. So we are actively working to implement the European model and structure, both from a go-to-market standpoint in terms of how we manage the sales force, how we manage the corridors and the tactical pricing, but also just in how do we think about the synergies that come in from operating both of our major regions kind of on the same operating model that allows us to get scale and to get better coordination, particularly in payout markets.
Operator: Thank you for joining today's Second Quarter 2025 Earnings Conference Call. We hope you have a great day.